Operator: Good day, everyone, and welcome to the Blucora third quarter earnings results conference call. This call is being recorded. With us today from the company is the Chief Executive Officer, Bill Ruckelshaus; Chief Financial Officer, Eric Emans; and the Senior Director of Investor Relations, Stacy Ybarra. At this time, I would like to turn the call over to Stacy Ybarra. Please go ahead, ma'am.
Stacy Ybarra: Good afternoon, and welcome to Blucora's investor conference call to discuss third quarter results. Before we begin, I'd like to remind you that during the course of this call, Blucora representatives will make forward-looking statements including, but not limited to, statements regarding Blucora's expectations about its products and services, outlook for the future of our business and growth initiatives and anticipated financial performance for the fourth quarter. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions, are also forward-looking statements for purposes of the safe harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to various risks and uncertainties, and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, the risks and other factors discussed in Blucora's most recent quarterly report on Form 10-Q, on file with the Securities and Exchange Commission. Blucora assumes no obligation to update any forward-looking statements which speak only as of the date the statement is made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release which has been posted on our website and filed with the SEC on Form 8-K, we present GAAP and non-GAAP results, along with reconciliation tables and the reasons for our presentation of non-GAAP information. We have also provided supplemental financial information to our results in the Investor Relations section of our corporate website at www.blucora.com, and filed with the SEC on Form 8-K. Now I'll turn the call over to Bill Ruckelshaus. Following his comments, Eric Emans will review third quarter results and fourth quarter outlook. Then we'll open up the call to your questions.
William J. Ruckelshaus: Thanks, Stacy, and good afternoon. Our progress at Blucora continues. Ongoing challenges at InfoSpace this year underscore the importance of our multiyear strategy to build value through diversifying acquisitions. Our transformation centers on 2 fundamental beliefs: first, digital migration trends create opportunities for profitable, disruptive businesses and in most vertical markets, the shakeouts are just beginning; second, Blucora can acquire quality digital businesses, position them for growth and operate them effectively inside a tax efficient parent company. We remain confident that continued execution of this diversification strategy will result in compelling value creation for our shareholders. Now to our performance in the quarter and year-to-date. In search and content, we continue to navigate headwinds at InfoSpace. While search results in the quarter were in line, many of the transitions discussed this year including the removal of Google from mobile, continue to weigh heavily. In mid-August, our distribution networks showed further weakness. Evolving search partner policies impacted our network in the quarter and challenged the ability of our partners to profitably promote our metasearch offering. We are working with partners adapt and while some are finding opportunities to grow, overall, the network is more pressured and we now expect transitions to continue to play out in future quarters. On the owned and operated side, HowStuffWorks is largely transitioned and integrated. The team is focused on accelerating content creation and distribution to grow audience and drive engagement. HowStuffWorks is a brand-safe, highly contextual property with a large intent-driven audience. We look forward to more progress at HowStuffWorks in 2015. At our owned and operated metasearch sites, we are limiting marketing spend pending efficiency improvements. metasearch as a core offering continues to be relevant and we are adding nonsearch content to the product to improve engagement and build audience. These changes will take time and we expect further pressures in owned and operated search in the near term. Overall, search and content remains challenged. Under the new leadership of Peter Mansour, InfoSpace is responding in a couple of important ways. First, we are emphasizing opportunities at HowStuffWorks and testing new models that can offer more stability while leveraging core strengths in content distribution, traffic acquisition and partner management. Second, InfoSpace is resizing its team to reduce cost and create a more efficient organization. Decisions like this are not easy, but they are necessary during our transition. There is much work to be done and many opportunities to exploit at InfoSpace, and we are confident of the team's ability to respond and move in new directions. We look forward to providing an update in February. Turning to E-Commerce. Monoprice performed to guidance in the quarter but top line growth, 3% year-over-year, is below our expectations for this business. As previously noted, Monoprice is under the new leadership of Bernard Luthi, who is strengthening the product lineup and reenergizing loyal customers. In his short time aboard, Bernard has implemented changes to core systems and processes, redoubled commitment to new product introductions and added seasoned executives to the leadership team. These initiatives will pay off in 2015 and beyond in the form of faster time-to-market with new compelling products, improved site experience and enhanced customer monetization. Monoprice products continue to draw rave reviews. In the third quarter, Monoprice Lightning cables, battery packs and chargers were featured in numerous head-to-head comparisons and consistently cited for high quality and best value. Overall, we are encouraged by the progress that the Monoprice team has made this quarter, and we continue to believe in their 3-part formula: quality products, fair prices and a profitable, growing business. Moving to Tax Preparation. With new product features and a compelling value proposition, TaxACT is readying for another successful tax season. Consumers continue to shift to DDIY, driven by improved software, mobile access, enhanced service and content and favorable demographic shifts in the filer population. We believe overall filers will grow about 1% next year and expect DDIY units to grow in the 3% to 5% range. Our goals continue to center around maintaining and building upon our share position in DDIY and bringing more value to our customers in the process. This off-season, the team focused efforts on core product and mobile enhancements, adding ways for do-it-yourself customers to meet filing requirements quickly, easily and cost-effectively. TaxACT recently launched a multiyear customer experience initiative designed to emphasize simplicity, speed and accessibility throughout its applications. This season, they introduced upgraded interface and account features that streamline steps for consumers to manage returns and related documentation. The new UI will also integrate with TaxACT's mobile apps, such as Donation Assistant that tracks charitable donations throughout the year. Last month, the team launched our 2014 federal DIY and business editions, empowering customers to preview their 2014 filing and identify year-end savings opportunities. We also launched our 2014 federal prep solution which features improved import capabilities, added organization tools and new reports to assist with client year-end tax strategies. JoAnn Kintzel and the team continue to tackle opportunities in DIY and assisted preparation and we look forward to another solid season next year. Before I turn it over to Eric for more on our performance, let me touch briefly on capital allocation. M&A continues to be an opportunity for us as we further diversify and grow. Market conditions must be right to allow us to acquire a quality business in a structure that makes sense for shareholders. We are focused in the right areas and remain vigilant and patient at the same time. Our execution and discipline here can be an added catalyst in 2015 for Blucora. With that, I'll turn the call over to Eric.
Eric M. Emans: Thanks, Bill. Consolidated revenue for the third quarter was $114.9 million and within our guidance range. Adjusted EBITDA was $10.7 million and exceeded the high end of our guidance. Non-GAAP net income was $6.5 million or $0.15 per diluted share, and GAAP net loss was $2.2 million or a loss per share of $0.05. We exited the third quarter with cash, cash equivalents and short-term investments of $280.4 million and net cash of $15.8 million. Now let's walk through the third quarter segment performance, beginning with search and content. The search and content segment again experienced downward pressure in the third quarter. Revenue for the quarter was $74.4 million, down 7% sequentially and segment income was $12.7 million, down 9% sequentially. Revenue was above the low end of our expectation while segment margin was at the high end of our expectation, as the team worked to maximize profitability including cutting of discretionary costs. Drivers of the revenue performance were as follows: First, in mid-August owned and operated experienced a decrease in revenue earned for traffic without a commensurate decrease in marketing cost. As a result, we pulled back marketing spend, further negatively impacting revenue. The deterioration has been correlated to volatility in quality scores and changes in the manner in which these scores are applied, both of which are proprietary and controlled by our search engine customers. We are working to adapt but our ability to grow owned and operated is currently limited. Second, distribution partner revenue was pressured by changes to and/or enforcement of search engine customer policies. These changes and enforcement actions have increased in frequency, and during the back half of the quarter, have impacted some of our larger and more tenured partners. In addition, these changes and enforcement actions are contributing to ongoing challenges of bringing new partners into the network. As a result, we are expecting further sequential declines in the fourth quarter. Lastly, we experienced distribution partner traffic losses to competitors. These losses accounted for approximately $2.2 million or 30% of the sequential decline of our quarterly distribution revenue. These losses are attributed to increased competition in the space, including competition from our search engine customers. Turning to the fourth quarter. As Bill mentioned, we are taking actions to pivot the business through redeployment of existing resources. Additionally, we have implemented cost reduction that will eliminate approximately $2.5 million of annual cost. Our outlook for the fourth quarter is as follows: Revenue of $56 million to $65 million and segment income of $6.7 million to $9.5 million. Please note our segment income range includes onetime charges of $1 million associated with the aforementioned cost reductions. In summary, the search and content business is in a period of transition that is expected to extend into 2015. Additional volatility should be expected. In short, the business is likely to get worse before it gets better. And thus, our ability to provide guidance beyond the following quarter is extremely limited. With that being said, we believe Peter and the team are well-positioned to navigate through these challenges and transform the business. With that, let's move to E-Commerce. Revenue for the third quarter was $38 million and segment income was $3.3 million or a segment margin of approximately 9%. Revenue on a pro forma basis was up approximately 3% versus the prior year and segment margin was down approximately 250 basis points, both in line with expectations. Year-on-year revenue growth reflects an 8% increase in average order value, offset by a 5% decline in order volume. While we are making good progress, we continue to be conservative in our forward expectations. And for the fourth quarter, we expect revenue of $39.5 million to $41 million and segment income margins in the mid 8% to low 9% range. Turning to the tax preparation segment. Revenue for the quarter was $2.5 million and we recorded a segment loss of $1.9 million. We are increasing our 2014 full year revenue expectations by $500,000 from $103.5 million to $104 million and expect segment margin of approximately 47.5%. Looking forward to the next tax season, we expect revenue for the first half of 2015 of $108 million to $110 million and segment income margin of 55% to 56%. Moving to unallocated corporate expenses. Third quarter came in at $3.5 million and we expect fourth quarter costs of approximately $4 million, mainly driven by an expected increase in professional services. Closing with our consolidated fourth quarter expectations. We expect consolidated revenue between $97.5 million and $108.5 million, adjusted EBITDA between $2.4 million and $6.4 million, non-GAAP net loss of $1.5 million or a $0.04 loss per share to income of $2.5 million or $0.06 per diluted share, and a GAAP net loss of $9.1 million to $6.4 million or $0.22 to $0.16 loss per share. With that, let's turn the call over to the operator and we'll take your questions.
Operator: [Operator Instructions] Our first question today comes from the line of Gil Luria of Wedbush Securities.
Gil B. Luria - Wedbush Securities Inc., Research Division: The guidance for TaxACT, that is for continued high single-digit growth next year, how much of a factor, now that we're pretty close to open enrollment and our first tax season that's really going to be -- Affordable Care Act is going to be a big topic. What are you expecting is the impact? And what can you show us in terms of your plans for addressing the tax filers' concerns with the Affordable Care Act and the impact on their taxes?
Eric M. Emans: Gil, it's Eric. Thanks for the questions. So look, as far as impact, I think that we're not expecting a tremendous amount of impact upward or downward. And the thing I would say is we're ready. I think that started with HealthcareACT.com and getting out there and educating our filers and educating people that aren't actually using our product as well as an opportunity to outreach to our existing filers. And then, I think as we thought about the product implementation, making sure upfront within the product, we're talking about giving confidence to our consumers. And we view ACA just like we viewed anything else in DDIY, is that our job is to make sure that people don't perceive undue complexity in their tax returns and that's how we've approached it and I think we're ready.
Gil B. Luria - Wedbush Securities Inc., Research Division: And TurboTax in the previous tax season for a 2-week period was almost matching your prices, and it didn't seem to have much of an impact on you last year. But this year, is that going to put pressure on you to go below that umbrella? Or do you feel like you can continue with the same price structure that you've had over the last couple years?
Eric M. Emans: Gil, it's Eric again. Look, we won't talk too much about our strategy, just because of the competition. Obviously, we observed tactics by the competitors last year and certainly, those tactics by Intuit and TurboTax, and I think we addressed appropriately. I mean, we are the value player in the space, we expect to be disruptors in the space and therefore, be focused on share, but I think we're also focused on profitable share. And our ability to adapt in the season which I think we did last year and kind of adapt more to making sure that we drove financial results while at the same time, maintaining share, was a great outcome for the team. But I think every tax season is different and given our position in the space and the share of voice that we fight for every year over an abbreviated period, we're really encouraged about the team's ability to adapt in season.
Gil B. Luria - Wedbush Securities Inc., Research Division: And then finally, what do you consider your capacity? We talked about this number last couple of quarters. What do you consider your capacity for acquisitions right now in the business? How much do you think you can spend on a potential acquisition?
Eric M. Emans: Gil, I'll take that one as well. Look, we definitely have a lot of cash, gross cash on the books, about $280 million. We have a fairly flexible instrument in place associated with our TaxACT business. So I do think we have plenty of gross cash available, and then are willing, similar to what we've done in the Monoprice transaction after the fact, and then as we executed the TaxACT transaction of putting reasonable operating leverage on a target. So I think answering that question, I'd say from a working capital standpoint, I think our businesses are very efficient and so we can deploy a lot of the gross cash on our balance sheet in pursuance of an acquisition. And then I think as far as total value, it's also going to depend on the target and its leverage-ability and what we think the appropriate operating amount is.
Operator: Our next question comes from the line of Dan Kurnos of The Benchmark Company.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Just a quick housekeeping, Eric, just because I think I missed it when you were talking about the outlook. What did you say you expected the margins to be for that tax business next year?
Eric M. Emans: 55% to 56%. Remember, that's a first half number of -- but yes, for the first half, we're expecting 55% to 56% and I think last year, we punched in about just over 55% for the first half.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Okay. So you're getting a little bit -- maybe a little bit of incremental leverage. And before I jump into search, just wanted to get your thoughts on new product rollout, how they're being received and maybe just an idea of either roadmap or -- I know you didn't really want to talk about the game plan per se, but just incremental initiatives that you have that are really helping the bottom line in addition to the top line to maintain that share or take share, I should say.
Eric M. Emans: Yes. I mean, I think a lot of -- with our value proposition in the space and our promise to consumers, it's really driving value through engagement in incremental product offerings and rather than trying to maximize value on the software offering. So I think retention plays a key part in that, in getting people into our reasonably priced paid software options is great as well as doing add-on types of things. And then I think the other thing that we focus on is just also recognizing that the market growth in DDIY is slowing over time, as pen and paper becomes less and less. The market is what are other opportunities we can take to engage with our tax filers, whether it's non-tax-related products or moving towards offerings towards small business as well as helping assisted preparation filers with software solutions, which is something we do already, but I think becomes more and more important, given the dynamics of the marketplace going forward. So I think it's a combination not only of just continuing to try to drive value and grow share in DDIY, but as well as expanding out consumer products, small business products and an offer in the assisted channel.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Got it. Great, that's helpful. So shifting to search. Just look, I guess I'll just ask a few high-level questions and maybe get back in the queue at the end here. But just maybe if you could give us some more granularity on either the policy changes and which particular vertical within distributed and/or if it was impacting O&O. We had heard that there were some SEM arbitrage issues or that was Google was refocusing on that issue which has been something in the past, that they've clearly tried to clamp down on. But for their own sake, given the fact that they generate revenue from it, they've not really gone after aggressively. So if you could give a little bit more color there. And certainly, we've heard from IAC that the B2B market is probably going to see compression until at least, the middle of next year. I know that it's a little bit more difficult for you guys since you're reliant on our distribution partners, you don't have maybe as much visibility, but just any thoughts on how long the transition period could take.
William J. Ruckelshaus: Yes, Dan, this is Bill. Let me address that question along 2 dimensions. First is with a little more color around the facts on the ground as we're seeing them and as we describe them in the upfront comment. So the dynamics that apply to both our owned and operated results and performance as well as our distribution partners is we work best in environments where the rules of engagement are clear and consistent. And what I would say about the current lack of policy clarity with respect -- in certain segments of search syndication are contributing to instability and lack of forward visibility. And that's specifically, we spoke about this last year with respect of our software partners who were participating in downloadable applications and in many respects, this started to rear its head in late '12 and ultimately, was memorialized in the form of a new set of rules published by Google in early '13. And we find ourselves now with content publishers in a similar position where there isn't clarity in the marketplace. And as a result of that, there is inconsistent application of rules and enforcement actions, for lack of a better word, that create uncertainty and sort breed conservatism and impede growth. And so that -- I would say that, that's an overarching theme that we're speaking to both on the owned and operated as well as on the distribution side. To go back to the software example, once policies were clarified and rules were clarified, I think some degree of stability returned and obviously, that's a favorable dynamic. But it doesn't exist today on the content publisher side. And then the second thing I would say is, what is our management philosophy in the face of this transition? And I think it really does come down to 3 parts that are worth emphasizing. First is that we're obviously identifying responses that can address these headwinds and promote stability because that's really the North Star near term. Second is throughout this, that we need to maintain cost disciplined and focus on the bottom line as best we can. And last -- and evolve under new leadership and Peter Mansour's new vision that would leverage our existing strengths and those specifically are in content distribution, user acquisition and monetization of partner management, and take those to areas where we can participate with more stability. So I think it's a combination of just being realistic about the current set of facts as well as applying a management philosophy in the face of those facts that makes sense.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: That's really helpful color. Eric, historically, we talked about DLA being somewhere north of 40%. We know that came down. We talked about that I think, last call. Maybe it's in the 25-ish percent range. Can you at least give us directionally or somewhere geographically, give us a sense of what content is as a percentage of distributed revenue?
Eric M. Emans: Yes. I mean, look. I think we, in general, just group things kind of into that ISV bucket, content publishing a little bit, Internet service providers, ISPs. And I would say ISPs are definitely smaller. I think content publishers have grown as a large -- as a percentage in part because of kind of how we group things and that's really where we saw the growth the back half of last year, in the face of the DLA policy changes rolling out and the declines, so you kind of have that mix shift. I think that as we -- I think Bill said it very well, is I feel like kind of what we're going through with our content publishers is a lot like what we started to go through before the DLA policies we finally firmed up and rolled out and kind of everybody understood the playing field. I think we're kind of going through that with our content publisher business. And so I think that mix shift will change over time. But as far as what I would say is that both businesses are pressured and I would say that DLA continues or the ISVs continue to be pressured by the technology changes, as well as we've seen some still ongoing policy changes in enforcement actions there which are pressuring that subsegment. I would say, right now, given kind of where we sit and some of the additional pressures, the content publishing group is also under pressure. And so I think the mix will stay consistent or you may actually see DLA come up a little bit of the mix as we kind of go through some of these transitions over the -- what we would hope would be the first half of next year. But I think you acknowledged our visibility here is challenged and we're trying to intermediate or mediate, actually, our search customers' desires along with the business models of our various distribution partners. And we're trying to do that and have them adapt the best way they can. And once we get those 2 parties aligned, I think that's where you can start to see evening out of the downward curve. And hopefully, we get it turned to some kind of growth while at the same time, I think Peter -- it's early and we'll update you more in February. But I think we're excited about some of the things he's seen and opportunities to leverage the assets that we have here at InfoSpace. And some of that will be qualitative more than quantitative out of the gate, but I think we got some good opportunities there and we're very encouraged, even though Peter's only been with us for a very short period of time. So I think we're hopeful on both sides, but I definitely think given what we're seeing today, we should expect some downward pressure as we go into 2015.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Last question on search, I promise. Just any update on -- Bill, you mentioned in your prepared remarks, mobile continues to be a headwind for you. Just any update on developing a better organic mobile platform? Or if you've had any improvement using Yahoo!?
William J. Ruckelshaus: So I would say that, that continues to be an opportunity for us. There's not a significant update in terms of the mix of traffic between what we've characterized earlier as largely a desktop network, and that continues to be the case. I think the global opportunity for us is really going to be to put a set of solutions in place that can allow us to take advantage of growth opportunities in mobile. I think we could still grow in desktop, but clearly, with the top line trends all heading to tablet and smartphones, it's incumbent upon us to have a compelling solution in front of publishers. The interim impact, since our announcements earlier this year, I think, has been a net negative as it relates to publishers looking for mobile solutions elsewhere as we've kind of regrouped post the renewal and with the news.
Operator: [Operator Instructions] Our next question comes from the line of Brian Gerald (sic) [Brian Fitzgerald] of Jefferies.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: Quick question on HowStuffWorks. You mentioned you're focused on both content creation and distribution. Would you say you're equally focused on those 2 kind of endeavors? Or is it more on taking this database of content, getting it more out there and better discovered? So one question on HowStuffWorks. Around search, any color more recently? I understand there's pressure there, both in the content side and the DLAs, but also thinking about, have you seen any market impacts near-term with the most recent Penguin change that happened within the last couple weeks?
William J. Ruckelshaus: Yes. Thank you, this is Bill. Approaching the first question first. So HowStuffWorks. I see them both as opportunities. We like the HowStuffWorks site and it has quite a large audience. It has both a new and an evergreen content strategy that has proven to be very effective at keeping the company top of mind or keeping the website top of mind, being able to pull in intent-driven traffic from a variety of sources. The distribution comments, I think, is an -- was by way of referencing what I think is an untapped opportunity for HowStuffWorks which is there is a significant component to its model today that involves direct traffic and traffic from search engines. But there are equal opportunities, I think, over time in terms of being sophisticated around syndication and social as Discovery Channel's for HowStuffWorks because the experience at the site and the content that resides on the site is precisely the type of thing that would do well and thrive in those channels and there's a virility around the nature of the content that's produced by the team that I think would, I think present a lot of opportunities for us next year. And as it relates to Panda Penguin, HowStuffWorks was impacted. It has not altered our view as to the attractiveness of the property by any means. We see a lot of opportunity going forward, but a little bit goes to the territory, these resets, periodically are going to have an impact and you navigate through them.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: And then maybe a follow-up with respect to search the Zoo launch and rollout. Is that kind of performing as expected? Have you done all the kind of consolidation around brands that you wanted to there? And any color around that kind of strategy and endeavor?
William J. Ruckelshaus: Yes. So our owned and operated properties, we talk a lot about HowStuffWorks as the newest addition. We have WebCrawler and Zoo and Dogpile and a variety of others. And without stealing thunder, I think we'll speak to this further into 2015. But the strategy continues to be in clarifying and I think concentrating the brand architecture in owned and operated in a way that's sensible and sort of best positions us to -- for the emphasis on owned and operated because I think there's a lot of sense in that strategy. And I think we can provide more details on that on our next call.
Operator: Our next question is a follow-up from the line of Dan Kurnos of The Benchmark Company.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Just a quick -- just on Monoprice, couple quick questions for you guys. With Bernard in charge now, I know that he's known as a marketing guy. Obviously, volumes are in a probably where you'd like them. Just any thoughts on, as we head into the holiday period, promos or otherwise, that you plan on launching or just maybe a sense of kind of his game plan to boost the volume side of the equation since you're doing pretty well with AOVs?
William J. Ruckelshaus: Yes. So we're very pleased to welcome Bernard. We're already seeing evidence of his background. And I think that the approach will come in phases. And certainly, marketing is a part of that but initially, a lot of the team, the organization, skill sets, leadership and making progress there, absolutely. The assortment and the merchandising and the overarching theme in that category is really around evolving from what historically has been more of a curation theme and orientation to more of a market-oriented, customer-oriented philosophy of the company which serves 2 purposes. One is I think you're better able to address unmet needs with your existing customers but, and I think even more excitingly, open up the addressable markets for Monoprice to customers that you haven't yet been exposed to, in part because of your curation orientation earlier in your existence. I think that's exciting. And then once those 2 things are in place, then I think the promotion and marketing opportunities really then get maximized because you have the right products and you have people in place to maximize the messaging around those products. And so it's going to come in phases, but we're already seeing signs of progress.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Great. And just one more for me. Just a follow-up to what Gil asked initially. Bill, maybe just an update on your thoughts on within M&A. If you were to find the right fit for the company, whether or not you're looking particularly in adjacent spaces or if it could be in a completely new vertical?
William J. Ruckelshaus: So I think that there are going to be opportunities to complement Monoprice, TaxACT, InfoSpace, HowStuffWorks. HowStuffWorks is an example of that category of transaction. The M&A that I was speaking to in my upfront remarks is with respect to finding an additional standalone business to acquire that we think has all the markings of being a high-quality business and structuring that deal in a way that is right for shareholders. And we see that as being a big opportunity, too. So I don't know that they're mutually exclusive. I would say that the bulk of our upfront -- bulk of my upfront remarks as well as our continued focus is around the second category. And where we see opportunities in adjacencies, we can pursue those and those will be equally driven with -- in partnership with the executives at each of our businesses.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Just to dig a little bit deeper. Understanding that most of the properties in the O&O space are either not for sale or not appropriately for sale, does it make sense at this point to get more aggressive in adding larger pieces to the O&O portfolio and diversifying away from distributed? Or might we hear more about that plan Peter when he comes on and talks maybe next quarter?
William J. Ruckelshaus: Yes. You're speaking specifically inside of InfoSpace?
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Yes.
William J. Ruckelshaus: Search and content. Yes, look, the HowStuffWorks is an example, I think, of what you're talking about. And I think absolutely, it's been a welcome addition and gives us a great area of focus going forward and an area where we think we can allocate resources and find sources of growth, and that's all well and good. The market conditions that allow for that transaction would have to exist in any next transaction that we would evaluate because we just have to stay disciplined. And certainly, as the strategy that Peter articulates and wants to pursue gets codified, then we'll go through the usual thought processes around what's the fastest way to get there. And in certain cases, an acquisition can be extremely accelerating of a piece of the strategy. And in that case, it can be all the more compelling.
Operator: Thank you. And ladies and gentlemen, that does conclude our Q&A session as well as our conference for today. I'd like to thank everyone for their participation. Everyone, have a great rest of your day. You may all disconnect.